Operator: Good morning and thank you for joining us for RPC Incorporated First Quarter 2016 Financial Earnings Conference Call. Today's call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
James C. Landers - Vice President - Corporate Finance: Thank you and good morning. Before we begin our call today, I want to remind you that in order to talk about our company, we're going to mention a few things that are not historical facts. Some of the statements that will be made on this call could be forward-looking in nature and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today along with our 2015 10-K, and other public filings that outline those risks, all of which can be found on RPC's website, at www.rpc.net. I also need to tell you that in today's earnings release and in our conference call discussion we'll be referring to EBITDA, which is a non-GAAP measure of operating performance. RPC uses EBITDA as a measure of operating performance, because it allows us to compare performance consistently over various periods without regard to changes in our capital structure. We're also required to use EBITDA to report compliance with financial covenants under our revolving credit facility. Our press release today and our website provide a reconciliation of EBITDA to net income, the nearest GAAP financial measure. Please review that disclosure, if you're interested in seeing how it's calculated. If you've not received our press release for any reason, please visit our website, again, at www.rpc.net, for a copy. I will now turn the call over to our President and CEO, Rick Hubbell.
Richard A. Hubbell - President, Chief Executive Officer & Director: Thank you, Jim. This morning we issued our earnings press release for RPC's first quarter of 2016. During the first quarter, our customers' unprecedented measures to remain in operation during a prolonged period of low commodity prices severely impacted our results. RPC and its peers are responding with equally diligent efforts to remain in operation in anticipation of the eventual industry recovery. Industry indicators continued to decline during the first quarter. The U.S. domestic rig count fell to a record low and the spot price of natural gas fell to levels not recorded since the fourth quarter of 1998. Our financial results reflect these dismal industry conditions. Our CFO, Ben Palmer, will now review our finance results in more detail, after which I will have a few additional comments.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Okay. Thank you, Rick. For the first quarter, revenues decreased to $189.1 million, compared to $406.3 million in the prior year. EBITDA for the first quarter decreased to negative $14.1 million, compared to $77.9 million for the same period last year. Operating loss for the quarter was $75.1 million, compared to an operating profit of $6.4 million in the prior year. Our loss per share was $0.15, compared to diluted earnings per share of $0.04 in the prior year. The $0.15 loss per share reported during the current quarter includes the positive impact of discrete income tax benefit totaling $15.7 million or $0.07 per share. I'll discuss this a bit more later in my comments about sequential results. Cost of revenues decreased from $292.4 million in the first quarter of the prior year to $161.3 million in the current year, due primarily to lower cost resulting from lower activity levels, reduced personnel head count and incentive compensation, and price reductions from suppliers. Cost of revenues as a percentage of revenues increased from 72% in the prior year to 85.3% due to competitive pricing for our services, higher maintenance and repair expenses, and inefficiencies resulting from lower activity levels. Selling, general and administrative expenses increased from $42.4 million in the first quarter of the prior year to $43.5 million this year due to an increase in bad debt expense and contingent professional fees, partially offset by lower total employment cost due to head count reductions. I'll discuss the contingent fees further in a moment. SG&A expenses as a percentage of revenue increased from 10.4% last year to 23% this year, primarily due to the relatively fixed nature of some of these costs during the short term. Depreciation and amortization was $60.6 million during the first quarter of 2016, a decrease of 8.1% compared to $66 million in the prior year. Depreciation and amortization decreased due to lower capital expenditures. Our Technical Services segment revenues for the quarter decreased 53.6% compared to the first quarter of the prior year. Operating loss was $63.3 million compared to an operating profit of $5.9 million in the prior year. Revenues and operating results decreased due to declines in activity and pricing. Our Support Services segment revenues for the quarter decreased 51.7% and operating profit decreased from $3.9 million in the first quarter of the prior year to a $6.6 million operating loss in the first quarter of the current year. On a sequential basis, RPC's first quarter revenues decreased 29.5%, again, to $189.1 million from $268.1 million in the prior quarter. The decrease in revenues was due primarily to lower activity levels and pricing for our services. Cost of revenues decreased 25.8% from $217.4 million to $161.3 million due to lower materials and supplies expenses and employment costs. Cost of revenues as a percentage of revenues increased from 81.1% in the prior quarter to 85.3%, due primarily to lower pricing for our services. SG&A expenses increased by $7 million, or 19%, due to higher bad debt expense and the contingent professional fees that I referenced earlier. As a percentage of revenues, these expenses increased from 13.7% in the prior quarter to 23% this quarter. RPC's consolidated operating loss increased from 21.4% of revenues in the prior quarter to 39.7% of revenues this quarter. Our sequential EBITDA decreased from $9 million to negative $14.1 million in the first quarter. Our Technical Services segment generated revenues of $175.5 million, 29.8% lower than revenues of $250 million in the prior quarter. Operating loss was $63.6 million, compared to $45.4 million in the prior quarter. Revenues in our Support Services segment declined 24.5% due to decreased activity and pricing in rental tools. Our Support Services segment incurred an operating loss of $6.6 million in the first quarter compared to a loss of $3 million in the fourth quarter. RPC's income tax benefit during the first quarter of 2016 included the impact of a resolution of an open state tax issue. This favorable resolution increased RPC's first quarter tax benefit by $15.7 million. We recorded a contingent professional fee of $2 million as part of SG&A expenses in connection with this matter. As of the end of the first quarter, RPC's pressure pumping fleet totaled 927,000 hydraulic horsepower, of which approximately 40% is unmanned but available to work. Capital expenditures during the first quarter were $9.6 million, and our full-year 2016 capital expenditures are currently projected to be approximately $50 million. As of March 31, RPC's total head count was approximately 12% lower than at the end of 2015 and approximately 32% lower compared to one year ago. I will now turn it back over to Rick for some closing remarks.
Richard A. Hubbell - President, Chief Executive Officer & Director: Thanks, Ben. RPC is in a relatively strong financial position compared to our peers. At the end of the quarter, RPC had approximately $108 million in cash and has been debt-free for several months. This was accomplished through focused management of our working capital and cost structure, coupled with prudent capital allocation. We believe the operating losses and negative cash flows incurred by our peers are preventing many of them from properly maintaining their equipment fleets. This, coupled with low activity levels obscures the rate of attrition and actual equipment availability. While our industry will eventually recover, oil field service companies such as RPC that can afford to take a long-term view will survive and benefit the most. I'd like to thank you for joining us for RPC's conference call this morning. At this time, we'll open up the lines for your questions.
Operator: Thank you. And we'll take our first question from Rob MacKenzie with IBERIA Capital.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Thanks. Good morning, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Hey, Rob. Good morning.
Rob J. MacKenzie - IBERIA Capital Partners LLC: I wanted to ask you guys about – it looks like you did pretty well on the margin front this quarter in Technical Services. And I wanted to, one, figure out if you guys gave up any of your call option or stacked any of the equipment you had been staffing here given the depth of the downturn and, if so, how your view of that shaped up throughout the quarter?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Well, I'll respond to the first part of that question. I guess we mentioned in my comments, this is Ben, about 40% of the fleet being unmanned. I guess last quarter there was a little confusion when I said 70% was staffed. So, that indicates that there has been a reduction in the amount of capacity that we have currently staffed, and that correlates to – we talk about in our comments about a 12% reduction in head count also since end of the previous quarter. So, that's a little bit on the numbers. Jim, do you want to talk about the impact on the quarter?
James C. Landers - Vice President - Corporate Finance: Yeah. And, Rob, you asked about the call option metaphor that we've been discussing. I don't think that we've given up too much of that call option. We want to emphasize, the equipment that's been stacked with the exception of things that have to be maintained in a normal course of business, are ready to go. Yes, we have fewer employees today than we had at end of the year. So there's a little bit of a degradation there, but it's also a function of the market we're in as well.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Okay. Thanks. And is it your view or do you guys believe this is the last cut here for RPC?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Of any kind?
Rob J. MacKenzie - IBERIA Capital Partners LLC: Yeah.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: All right. That's hard to say. We are about where we expected to be, I think, a few months ago. So we're adjusting the head count as we see things change. But we're trying to maintain where appropriate strategically our infrastructure, so that when things do eventually turn that we'll have the ability to capture the upside. So, that's what we're planning for. So we're trying to remain prudent and trim where we need to, and we'll respond to what happens in the coming weeks and months.
James C. Landers - Vice President - Corporate Finance: Yeah. Rob, we certainly believe we have another bad quarter and maybe a little more than a bad quarter ahead of us. And we'll review infrastructure and staffing levels kind of at that next decision point, which will be sometime in probably four months, five months.
Richard A. Hubbell - President, Chief Executive Officer & Director: Rob, this is Rick. I think we hope that it's the last cut. But we're prepared to take whatever action we have to do in the future to survive.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Certainly, there's little visibility.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Yeah. Understood. Now, we have heard some odd green shoots from some of the well servicing and workover players. Are you guys seeing any of that in your coil business?
James C. Landers - Vice President - Corporate Finance: Rob, this is Jim. A tiny bit. Probably the closest thing to green shoots that we are seeing is anecdotal discussions by people saying they're going to add some rigs in a few months. But that visibility is very – we have the least visibility right now that we've ever had. Our operations people are telling us that until they rig up on that day, they don't know that they're actually going to do the work, because of cancellations and things that are happening. So there's a little bit of workover activity. We're not well servicing business, but little bit of workover activity at this time, but nothing new over the past few months. We've seen that over the past six months or so, but no change in that trajectory.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Okay. Great. Thank you. I'll turn it back.
Operator: And we'll take our next question from Jim Wicklund with Credit Suisse.
Unknown Speaker: Hi, guys. This is Chaz (14:18) on for Jim this morning.
Richard A. Hubbell - President, Chief Executive Officer & Director: Okay. Hey, Chaz (14:20).
Unknown Speaker: Hey. Just wondering if you could provide any more color on the bad debt expense and then also wondering what your level of concern is regarding customers moving forward?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Well, on the bad debt front, just in round numbers for all the comparable periods, I mean bad debt was up $4 million to $5 million, which for us is a lot. I would characterize that by saying though that about half of that is sort of a more recent credit problem, bankruptcy with a particular customer, and the other half at least in the current quarter related to sort of some negative developments of some receivables that we've had out for a long time that are in litigation and that sort of thing. So certainly it continues to be a concern. It continues to be a top priority for us to focus not only on new customers and making sure we're watching available information on how customers are doing, and also vigorously pursuing collections on existing receivables. So clearly, in the current environment, we would expect there will be some other exposure, but to speak or say whether we think that level is going to continue to go forward, we don't know. But, again, there will be some exposure, but just wanted to elaborate to say that the relatively higher amount, some of that was due to quite old receivables that we just adjusted the reserve on due to, like I said, some negative developments.
Unknown Speaker: Okay. That's very helpful. And then also kind of digging back in on Technical Services here. I've noticed that revenue was down a little bit more in the rig count. Could you guys comment on if that's more a function of the number of jobs or if that's more service intensity and pricing?
James C. Landers - Vice President - Corporate Finance: This is Jim Landers. The decline in Technical Services was mainly attributable to declines in pressure pumping. And it declined a little bit more than the rig count, and that was a combination of lower job count and a slight decline in pricing. Service intensity did not increase in the first quarter. So, that didn't help us as it has in the past. So it was mainly activity and a little bit of pricing.
Unknown Speaker: And then just one more quick one on the pricing, guys, is have you noticed any significant change at the start of Q2 in terms of pricing relative to Q1? Or are we pretty much at the bottom in terms of price?
Richard A. Hubbell - President, Chief Executive Officer & Director: No significant changes in Q2 versus Q1. We think we're at the bottom, but we thought that for a long time, so.
Unknown Speaker: Fair enough...
Richard A. Hubbell - President, Chief Executive Officer & Director: (17:11)
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Yeah. (17:13).
Richard A. Hubbell - President, Chief Executive Officer & Director: One thing is the bids are clustering a little more closely together, so that's a sign of a bottom but we've seen that before, so.
Unknown Speaker: Okay.
Richard A. Hubbell - President, Chief Executive Officer & Director: Thanks.
Unknown Speaker: Okay. That's helpful.
Operator: And we'll take our next question from Ken Sill with Seaport Global Securities.
Ken Sill - Seaport Global Securities LLC: Yeah. Good morning, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Hey, Ken.
Ken Sill - Seaport Global Securities LLC: One housekeeping note. I was wondering if you could provide kind of the breakdown in revenue in Technical Services amongst the major product lines.
James C. Landers - Vice President - Corporate Finance: Sure. Sure, Ken. This is Jim Landers. So the percentages I'm about to give are as a percentage of consolidated RPC revenues for the first quarter. Pressure pumping was 49.8%, Thru Tubing Solutions was 22.5%, coiled tubing was 7.1%, our nitrogen service line was 3.7%, and rental tools which is in Support was 3.1% of consolidated revenues.
Ken Sill - Seaport Global Securities LLC: Okay. Thank you. And then I was wondering if you could kind of give us a timeline on how things evolved over the quarter. Several of the other operators have said February was just people put on the brakes and that March was slightly better, April slightly better, May could be. I was just wondering how you would characterize how the quarter progressed and where we are now relative to Q1's run rate.
James C. Landers - Vice President - Corporate Finance: Yeah. Ken, we've heard those anecdotes from peers and the analyst community. We did not see big variances during the quarter on a monthly basis. It was sort of a ratable step-down, if you will. We've heard some discussions about some better customer activity in May or June, but back to the earlier comment, we don't know until we're rigged up on the job site if we have the work or not. April is about as you would expect, probably sort of going with the rig count for the month of April.
Ken Sill - Seaport Global Securities LLC: And then, final question, you took your staff capacity from 70% to 60%. How much additional work do you think you guys could pick up from where you are today without adding any more crews? I'm just wondering kind of – the other way to look at that is how good is the utilization, or how poor is the utilization on your staffed frac fleets right now?
James C. Landers - Vice President - Corporate Finance: Yeah. On the staffed frac fleets, the utilization is pretty low. I would say less than 40% at this point. So, with the well-maintained equipment we have in place and with the crews who are not working as hard as they were back when things were a lot busier, we could generate a lot more revenue with the fleet that's in the field and the crews that are in the field and working than we are today – than we did in the first quarter.
Ken Sill - Seaport Global Securities LLC: Okay. Thank you.
Richard A. Hubbell - President, Chief Executive Officer & Director: Thank you, Ken.
Operator: And we'll take our next question from John Watson with Simmons & Company.
John Watson - Simmons & Company International: Good morning, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Hey, John.
John Watson - Simmons & Company International: I was wondering if you could provide an update on the status of your sand mine and maybe just any more general thoughts on the brown sand versus white sand debate and where that stands today?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Well, on the sand mine, clearly along with everybody else there's not a lot of activity there. The costs there are very reasonably minimal and we're keeping those to a minimum at this point in time. Brown versus white sand, not much of – I've not heard much in terms of change there since a few months ago. We don't see really any change in the trend of what our customers are using currently.
Richard A. Hubbell - President, Chief Executive Officer & Director: Yeah. And just to refresh your memory, John, we use – less than 5% of our sand usage is brown sand. For us, and this is not a universal comment, but for us where brown sand is used, it happens to be in a place that doesn't have easy access to rail infrastructure. So you have to take it by truck rather than by rail for a substantial part of its trip. And that, as we all know, negates a lot of the cost advantage of having cheap brown sand. So, for us, we just aren't using – we're using very little brown sand both this quarter and last quarter.
John Watson - Simmons & Company International: Okay. Great. So it sounds like there wouldn't be any reason that you would leave the sand business considering you're still able to use your own white sand?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Right. And we source sand from a number of different suppliers. So, internally, it's only a portion of what we use in total.
John Watson - Simmons & Company International: Okay. Great. That's it for me. Thanks, guys.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Thanks.
Richard A. Hubbell - President, Chief Executive Officer & Director: Thanks, John.
Operator: And we'll take our next question from Marc Bianchi with Cowen & Company.
Jonathan Hunter - Cowen & Co. LLC: Good morning, guys. This is Jon Hunter on for Marc.
Richard A. Hubbell - President, Chief Executive Officer & Director: Okay. Hey, John.
Jonathan Hunter - Cowen & Co. LLC: Hey. So could you guys give us any breakout of the bad debt expense in terms of where it was allocated into the segments? Like, was it for a particular customer within Technical Service?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: It was, and this is off the top of my head – probably 80% of it went to Technical Services, 20% to Support.
Jonathan Hunter - Cowen & Co. LLC: Great. Okay. And then, on Technical Service, what are you seeing in terms of other opportunities to cut costs? Are most of those behind us? And then how does that flow into how we're thinking about decrementals moving into the second quarter?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: This is probably a good time to talk a little bit about our balance sheet and where we are. From a cost-cut perspective, obviously the quickest thing we can cut is head count and that's what we've continued to do. We still from a location infrastructure standpoint we believe that we're going to be much better off if this thing turns around. And as long as the turnaround is sometime within the next few quarters, that we are going to be much better off if we, again, are strategically positioned when the time comes to be able to ramp back up. So we, from a cost-cutting perspective, don't see any significant cost opportunities beyond head count in the short term. And that's just sort of where that is. Certainly, the variable cost that we incur in performing work and things like that, there's those opportunities. But from a fixed cost standpoint, head count is the one that's being watched more closely in the short term.
Jonathan Hunter - Cowen & Co. LLC: So you guys have done an impressive job with the decrementals both in the fourth quarter and in the first quarter here. So, assuming that most of the cost cuts are behind us, would you think there's potential for those decrementals to tick up a bit in the second quarter?
James C. Landers - Vice President - Corporate Finance: John, this is Jim. They certainly could walk through the logic a little bit. If we are at the bottom for pricing and activity, if we are, emphasis on if, the decrementals won't be as much of an issue as they have been. If we are not at the bottom and we lose another 150 rigs in the next few months, as Ben just said, we'll be cutting some more expenses. So it's an overused word, but second quarter will be choppy from that point of view as we try to find the bottom here and try to see what customer activities are going to be.
Jonathan Hunter - Cowen & Co. LLC: Okay. Great. Thanks, guys. I'll turn it back.
Richard A. Hubbell - President, Chief Executive Officer & Director: All right. Thanks, John.
Operator: And we'll take our next question from Tom Curran with FBR Capital Markets.
Tom P. Curran - FBR Capital Markets & Co.: Good morning, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Hey, Tom.
Tom P. Curran - FBR Capital Markets & Co.: Jim, to what extent – even if it's just an inclination you've gotten as opposed to firm confirmation, has the work you have been doing involved the execution of ducks as we've had the continued rally in oil prices. And to the extent you think or know you've done some of those, where have they been?
James C. Landers - Vice President - Corporate Finance: Tom, great question. According to our operations people, we have not been doing any work on drilled but uncompleted wells in the sense that we're all talking about them. We have not yet seen any uptick in that drilled but uncompleted well and now completion work. And in fact, whatever the rate of – whatever the ratio of drilled to uncompleted wells was six months ago, it's increased. In other words, fewer wells that are being drilled are being completed. So, that's actually hurt results of completion services businesses like pressure pumping. You can model it based on a rig count decline, but then you have to realize that fewer wells are being completed for a given well drilled. So, that's our answer right now. It's an awfully elusive thing to figure out, but we do not believe we've been doing any completion work on ducks.
Tom P. Curran - FBR Capital Markets & Co.: Interesting. And then turning to the M&A pipeline, when it comes to the flow of prospects and pitches you guys have been evaluating, pushing everything pressure pumping-related in terms of actual other pressure pumpers or their assets off to the side, how has the rest of the prospect pipeline evolved?
James C. Landers - Vice President - Corporate Finance: We continue to see a lot of things, but they tend to be smaller to support that work. (28:24)
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: And I would comment, in terms of the pipeline...
Tom P. Curran - FBR Capital Markets & Co.: Yes.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: ...I would say that we heard lots and lots and lots of things coming on the market. Three months, four months ago, not as much here recently, which I think is interesting. I think the attrition is probably accelerating with many of our peers, especially the smaller ones, which is only good for us. As we've talked about, the harder and the faster this thing comes down, better is going to be for the survivors. So I take that as being good news that we're not seeing a lot of additional opportunities. I think people are certainly very, very distracted by their financial situation and that's all they're focused on. We have the luxury, if you will, of – we're still trying to improve our company. We're still trying to focus on making things better. We're working on improving processes, trying to look at new ways to run more efficiently when things turn, looking at our maintenance programs and things like that, because we know it's going to turn. And that's another example where we're perhaps holding a little bit of that infrastructure and spending some money that we think will benefit us in the future as opposed to crawling up in a ball and trying to cut everything absolutely to the minimum. And we're trying to be prudent, trying to maintain the strategic locations where we want to be when this things turns around. So, again, that's just the benefit we have with the balance sheet. It hurts right now, business is bad, it's difficult, it's tough, but it's so bad it's got to get – the longer this goes, the sooner it's going to turn around. With this significant underinvestment by our customers and lack of ability of our competitors to maintain their equipment and maintain their systems and processes, we just feel like we're going to be well-positioned when it turns.
Tom P. Curran - FBR Capital Markets & Co.: Okay. Thank you for that color. Last one for me. What's the latest indication you've gotten from your operators on the dry gas side of the natural gas price level or range at which they might be interested in going back to work, and where would you most likely see that first?
Richard A. Hubbell - President, Chief Executive Officer & Director: Good question. It's a tough one. Natural gas rig count is abysmal. We've had some tick-ups. Call it $3-ish and that's just a very, very crazy estimate. I mean I don't know, Tom. The Marcellus is where it makes the most sense, but there's no takeaway capacity.
Tom P. Curran - FBR Capital Markets & Co.: Right.
Richard A. Hubbell - President, Chief Executive Officer & Director: We don't see any place where dry gas activity is going to tick up until the next cold winter, and we just don't know where that might be, so.
Tom P. Curran - FBR Capital Markets & Co.: Fair enough.
Richard A. Hubbell - President, Chief Executive Officer & Director: Sorry. It's not the Haynesville (31:51).
Tom P. Curran - FBR Capital Markets & Co.: I wasn't expecting that. Thanks for the answers, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Yeah. Okay. Thanks.
Operator: And we'll take our next question from Matthew Johnston with Nomura.
Matthew Johnston - Nomura Securities International, Inc.: Hey. Good morning, gentlemen.
Richard A. Hubbell - President, Chief Executive Officer & Director: Hey, Matt.
Matthew Johnston - Nomura Securities International, Inc.: Hey. Just wanted to go back to this discussion around decremental margins for the rest of this year, and it seems like outside of additional head count reductions, there aren't too many levers to pull. But just wanted to ask if activity levels kind of stay where they are or maybe even kind of decline from here, what would prevent you from getting some pricing reductions from your own suppliers to kind of alleviate what you're seeing on the top line in terms of pressure?
James C. Landers - Vice President - Corporate Finance: Matt, this is Jim. One thing that would prevent us from getting price concessions from our suppliers, or further price concessions, is that we think they're done with it. You probably follow the public sand guys a lot more closely than we do, but we doubt (32:53) the sand mine. We can tell you that people are shutting down mines and laying people off, so they are not willing to work at sand prices that are this price, let alone lower. So we feel like throughout the system we've probably gotten all of the variable cost cuts that we can get, back to Ben's comments.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Yeah. I think, just like with the service companies, I think the suppliers are just about there and it can't go much lower or certainly not for very long.
Matthew Johnston - Nomura Securities International, Inc.: Okay. Got it. Thanks for that. And then just a quick follow-up. Any thoughts on working capital outside of the receivable front the rest of this year? Any opportunities to use inventory perhaps as a source of cash?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: There's probably some opportunity there, but I think if we've reached the bottom on activity levels, I don't see that being a tremendous generator of cash. With the resolution of this tax matter, we generated a little bit of cash there subsequent to quarter end. And so, beyond that, I'm not looking or expecting there to be tremendous contribution going forward. We hope what's going to happen is that working capital is going to increase tremendously when business turns around. So, that's what we're hoping the next major move is going to be.
Matthew Johnston - Nomura Securities International, Inc.: Great. Thanks, guys. That's it for me.
Richard A. Hubbell - President, Chief Executive Officer & Director: Okay. Thanks, Matt.
Operator: And we'll take our next question from George O'Leary with Tudor, Pickering, Holt & Company.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Morning, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Morning.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Morning.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Most of my questions have been asked, so just one for me. Just curious, of the percentage of your fleet that is still active today, we've heard some mixed things from some of your peers or competitors, however you want to couch it, in terms of the mix of work that they're doing that's 24 hours versus just daylight. So, curious as to the 60% of your fleet that's still out there and marketed and maybe 40% utilized, how much 24-hour work are you doing currently? Do your customers actually prefer it because it provides some efficiency benefits, or have you migrated more to just daylight-hour work at this point?
James C. Landers - Vice President - Corporate Finance: George, this is Jim Landers. Good questions. A general comment is that we are moving more towards daylight-hour work rather than 24/7. We have a few fleets, and let's just say 15% of our fleets roughly are configured for 24-hour work, meaning that they have the right crew configuration and they have a little more equipment so they can run at lower speeds. So, that's kind of the answer now. With activity levels so low, any statistics like this are not that meaningful because things are just so small, but that is the answer.
George O’Leary - Tudor, Pickering, Holt & Co. Securities, Inc.: Thanks, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Sure.
Operator: And we'll go to our next question, John Watson with Simmons & Company.
John Watson - Simmons & Company International: Thanks for letting me back in. Two housekeeping ones for me. First, what is the expectation for depreciation for the balance of the year? Do you think it will continue to fall like we saw it fall in Q1?
Richard A. Hubbell - President, Chief Executive Officer & Director: John, in general, that's right. We think we will show you sequential declines in depreciation and amortization roughly equivalent to the Q4 to Q1 declines.
John Watson - Simmons & Company International: Okay. Wonderful. And then what do you expect for the tax rate for the balance of this year?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: On a quarterly basis, probably 34% for each of the next three quarters.
John Watson - Simmons & Company International: Okay. Great. That's it for me. Thanks.
Richard A. Hubbell - President, Chief Executive Officer & Director: Thanks.
Operator: And we'll take our next question from Michael Sabella with Citi.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): Hi. Good morning, guys.
Richard A. Hubbell - President, Chief Executive Officer & Director: Morning.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): Just a quick question I guess on your own M&A aspirations and where they may go from here. And then kind of as a follow-up, as your EBITDA heads kind of towards zero on an LTM basis, would you expect to have to go back to your revolver lenders, get approval on an M&A, or would you expect kind of to remain net-net zero after only M&A?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Yeah. Well, net-net...
Richard A. Hubbell - President, Chief Executive Officer & Director: Net-net zero meaning the debt after M&A.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): Yeah. So your covenant restricts it to 2.5 times, correct?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Right, right. Yeah.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): So, with zero EBITDA...
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Right.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): I mean, it will probably restrict the access?
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: Right. We're in – I wouldn't say constant, but we've been talking to our lenders frequently. They're not concerned. We don't see any problem that whether we had to renegotiate or ask for some sort of waiver or amendment, I think we could accomplish that. And obviously where we end it up would depend on the size of any sort of deal that we do. Reasonable question, but with things the way they are right now, certainly we are in discussions talking about the possibility of something like that happening but it's not anything that's taken up too much of our time right now.
Richard A. Hubbell - President, Chief Executive Officer & Director: That's a good way to put it.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): Yeah.
Richard A. Hubbell - President, Chief Executive Officer & Director: Yeah. So it's a great question but we don't have that problem with having to look at everyone, borrow a whole lot of money and all that sort of thing.
Ben M. Palmer - Chief Financial Officer, Treasurer & VP: But we feel like we could have access – we're not going to do – said another way, we're not going to do a deal unless we're quite comfortable with the economics and that we would end up with some visibility going forward as to our business. And I think we would be able to – if we can't get our bankers – we would need to be comfortable, we'd have to get our bankers comfortable that what future prospects look like. We're not going to go out on a limb and take any big risk and try to do any large transaction without some kind of visibility to future results.
Michael Sabella - Citigroup Global Markets, Inc. (Broker): Great. Thanks.
Richard A. Hubbell - President, Chief Executive Officer & Director: Sure. Thanks.
Operator: And we have no further questions. And I would now like to turn the conference back over to Jim Landers for any additional or closing remarks.
James C. Landers - Vice President - Corporate Finance: Thank you. We'd like to appreciate and we'd like to thank everybody who called in today to listen. We appreciate the questions, enjoyed the dialogue, and we will see you all again soon. Thanks.
Operator: This concludes today's conference. And as a reminder, again, this call will be replayed on www.rpc.net within two hours following the completion. Thank you for your participation and you may now disconnect.